Operator: Good day, and welcome to the IMAX Second Quarter 2017 Conference Call. All participants are currently in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. As a reminder, today's conference is being recorded. At this time, I would like to turn the call over to Jessica Kourakos, Senior Vice President and Investor Relations at IMAX. Please go ahead.
Jessica Kourakos - IMAX Corp.: Good afternoon, and thanks for joining us on today's second quarter 2017 earnings conference call. Joining me today in our New York office is our CEO, Rich Gelfond; our CFO, Patrick McClymont; our Head of Entertainment, Greg Foster, who will each have prepared remarks and will be available for Q&A. Also joining us is Rob Lister, Chief Legal Officer and Head of Business Development. Today's conference call is being webcast in its entirety on our website. A replay of the webcast will be made available shortly after the call. In addition, the full text of our second quarter release and the slide presentation accompanying today's call have been posted on the Investor Relations section of our website. We also provide quarter-to-date box office results on the IMAX Investor Relations website every Friday with a one-week lag. We also have an Investor Relations Twitter account using the handle @IMAX_Investors that includes this box office disclosure, as well as other items that may be of interest to the investor community. Finally, I would like to remind you of the following information regarding forward-looking statements. Our comments and answers to your questions on this call, as well as the accompanying slide deck may include statements that are forward-looking and that they pertain to future results or outcomes. Actual future results or occurrences may differ materially from these forward-looking statements. Please refer to our SEC filings for a more detailed discussion of some of the factors that could affect our future results and outcomes. During today's call, references may be made to certain non-GAAP financial measures as defined by Regulation G of the Securities and Exchange Commission. Discussion of management's use of these measures and the definition of these measures, as well as a reconciliations to adjusted net income, adjusted EPS and adjusted EBITDA as defined by our credit facility are contained in this afternoon's press release. With that, let me now turn the call over to Rich Gelfond.
Richard L. Gelfond - IMAX Corp.: Thanks, Jess. As you can hear, I'm struggling with laryngitis. In order to ensure that all of you can hear my remarks and then I have a voice left for Q&A, I've asked Rob Lister, Chief Legal Officer and Chief Business Development Officer to read my portion of today's remarks. Anything said in this portion should be attributed to me. At the conclusion of my remarks, Rob will turn the call over to Greg Foster to discuss the film business as usual, and Patrick McClymont will present financials. I will be available at the conclusion of the prepared remarks for Q&A. Rob?
Robert D. Lister - IMAX Corp.: Thanks, Rich. Good afternoon, everyone, and thank you for joining us today. Throughout my tenure at IMAX, I have highlighted the importance of taking a portfolio approach to managing our business long-term. Recognizing certain titles will resonate strongly with consumers and others less so. For example, several films in the second quarter underperformed our expectations, which had implications on the short-term results. And while, no one film will make or break a year, the recent release of Chris Nolan's Dunkirk, which exceeded our expectations, helps emphasize the value in viewing our business as a portfolio. Domestically, the film achieved $12 million in IMAX and our 400 screens accounted for almost a quarter of the total domestic box office, a record for any IMAX film. Internationally, we achieved another $7 million, which resulted in a per screen average of over $30,000 for the opening weekend. And these results do not include China, which launches the film on September 1. The movie embraces the spirit of IMAX in every sense and we shot almost entirely with our film cameras, and delivers a level of immersion that can only be fully appreciated in the IMAX format, an opinion shared by Chris, critics and consumers alike. More importantly, the success of films like Dunkirk is encouraging for a number of reasons beyond the box office of any individual film. Not only do movies like this demonstrate the power of the IMAX experience, they also tend to provide a halo effect lasting well beyond the films' time in our theaters. As evidenced by other IMAX hits historically, these films help to reinforce our brand and positioning in the global entertainment ecosystem. As a result, we tend to see increases in consumer exposure to and dialog around IMAX, heightened demand from filmmakers looking to leverage our format with IMAX DNA, and greater demand from exhibitor partners, who are increasingly seeking to add premium experiences to their multiplexes. And in light of consumer demand for premium experiences, we continue to see robust signings activity from our exhibitor partners around the world. During the quarter, we signed agreements for 92 new theaters, bringing our year-to-date signings to 130 new theaters. Keep in mind, this is on top of the record signings we achieved last year. Over the past 18 months, we have signed agreements for an incredible 450 new theaters. As a result of this activity, our installation pace continues to operate at strong levels. We installed 33 IMAX systems in the second quarter, and continue to expect we will install roughly 160 new theater systems this year. And on top of network expansion, we ended the second quarter with a global footprint of over 1,150 commercial screens, not including our backlog, which should grow the network by an additional 580 screens, over the next several years. I think it's also worth mentioning that this backlog spans almost 100 different exhibitor partners globally. Growing this footprint remains a key priority, as I believe this network serves as a leading contributor to long-term earnings growth. With that being said, we recognize recent network expansion has not translated to the bottom-line to the extent we expected. As a result, we've begun taking meaningful steps to improve profitability over the long-term. On the revenue side, the single biggest challenge we faced in the first half of the year, is box office performance. Greg will get into specifics shortly. However, we have recently begun to refine our strategy with regard to programming our screens, 2D versus 3D choices, and reseating to name a few. We believe the combination of factors such as these could contribute to greater revenue productivity of our network. It's also worth mentioning that a notable source of this quarter's weakness came from China. While we still view that market as a big growth driver long-term, a number of titles just didn't resonate with consumers. Another factor that contributed to weaker box office was the significant number of new-build installations. In fact, roughly 28% of our 443 theatre network in China was installed in the last 12 months. And most of these installations were in newly built malls, which take time to ramp up. With that said, while newly built IMAX theatres have been the foundation of our network growth to-date, a growing China cinema network affords IMAX the opportunity to retrofit theatres. This is something we've been very successful with in the U.S. market. Retrofit installations can provide greater box office transparency, quicker ramp-up periods, and can be installed more quickly than their new build counterparts. Moving along, the second area which has hindered recent earnings growth has been our cost structure. As many of you saw, we took a significant step towards mitigating this impact going forward. Last month, we announced a cost reduction initiative aimed at streamlining our business and introducing a more efficient cost structure, which should facilitate more operating leverage. While recent box office trends accelerated the implementation of this initiative, realigning our costs was an important and crucial exercise, regardless of any one quarter's box office results. Patrick will elaborate further. However, we believe this initiative will remove roughly $20 million in annualized costs from the P&L. As a result, we believe the company is better positioned to increase shareholder value going forward. And on the topic of shareholder value, our board recently approved a new $200 million buyback program, which runs through the year 2020. This new repurchase program follows the completion of our prior $200 million buyback program. We repurchased $46 million worth of stock in the second quarter this year. And continue to believe that buybacks will serve as a tool in delivering shareholder value. Our intent is to use this program opportunistically, as we have done in the past. Moving on to new business. We opened our second VR center in New York City at AMC Kips Bay this past Memorial Day weekend. This location differs from our standalone site in LA, as it is our first foray into a multiplex and occupies the lobby space there. This type of location is exciting, given the built-in foot traffic that comes with a multiplex location. Looking ahead, we anticipate opening five to eight additional VR locations by year-end with the next locations opening in early fall in Shanghai, Manchester, and Toronto. We'll be using these centers to not only test different markets around the world and their appetites for VR, but also to evaluate different types of venues, standalone locations, multiplex locations within shopping malls, and retrofitted multiplex auditoriums. And while this initiative remains in the pilot phase for the time being, I can tell you that there has been sizable interest from various partners around the world. All-in-all, there are a lot of exciting things on the table. Our backlog is at record levels, facilitating increased installations. We have an exciting film slate ahead of us. Virtual reality is off to an encouraging start. And we authorized future share buybacks to maximize our flexibility. Our capital allocation priorities continue to focus on network growth, new business and capital returns. Couple these opportunities with our cost reduction efforts, and I believe IMAX is well positioned to drive meaningful value to shareholders. And before I pass it off to Greg, I'd also like to mention that we recently hired a new CMO, JL Pomeroy. JL started this month and will lead the company's global marketing efforts to ensure filmmakers, studios, exhibitors and moviegoers around the world embrace the power of the IMAX experience. JL is a senior marketing executive with 25 years of international experience in the luxury, media and entertainment sectors, where she built a reputation as a brand builder and a change agent. We're looking forward to JL helping us further strengthen the IMAX brand. With that, I will turn the call over to Greg, who will discuss our film business. Greg.
Greg Foster - IMAX Corp.: Thanks, Rich/Rob. And hello, everyone. I'd like to begin by highlighting some of our Q2 results. We delivered global box office of $269 million, with $86 million coming from the domestic market, $97 million coming from China, and $86 million coming from other international markets. This resulted in a global PSA of $238,000, with the domestic market coming in at $216,000, China $235,000 and the rest of the world, ex-China, at $268,000. It's worth highlighting that we saw strong results in the international market, excluding China, which achieved box office growth of 14%, and PSAs which were in line with last year. Moreover, our domestic PSA was in line with 2016, despite several titles not performing quite as well in the long-term, following particularly strong opening weekends. With that being said, and as mentioned in Rich's remarks, we are continuing to adapt our film strategy to changing cinema and consumer dynamics. First, we continue to see more and more demand from directors, who want to leverage IMAX DNA for their blockbuster films, including two of the biggest films in the next 12 months. Specifically, Star Wars: The Last Jedi was partially shot with IMAX film cameras. And Avengers: Infinity Wars was filmed entirely by the Russo brothers with IMAX digital cameras. This is a key differentiator for prominent filmmakers, as well as consumers, and we typically over-index on films that utilize IMAX technology. Needless to say there is no better indication of the benefit of IMAX DNA than looking at the performance of Chris Nolan's Dunkirk this past week, where IMAX represented 23% of the opening weekend and continued with over 20% each of the first two days of this week. It's also worth noting that Dunkirk was shown exclusively in 2D, for which consumers in many markets are showing a clear preference. And on that topic, domestically, we're looking to play fewer 3D versions of movies and more 2D versions. It's apparent that the demand for 2D film is starting to exceed that of 3D in North America, and we'll be looking to keep more of our films in 2D as a result. In fact, we've just confirmed with Alcon and Warner Brothers that the domestic release of Blade Runner 2049 will be shown in IMAX theatres only in 2D this fall. Third, we've begun shortening the play windows for a number of our titles, committing many films for just one week. This not only ensures we have fresh content on the screens, it also reduces our exposure to potential second week drops, which have become more common provided there is more screens available to consumers on opening weekends. Another focus of ours is screen sharing. We've been screen sharing domestically now on more locations than we have in the past. This is a bit different than splitting the network. Rather, we're playing two films simultaneously on our 400-plus screens. For example, an animated family film during the day and a live action superhero film at night, being more nimble and having more flexibility to screen share should also bolster our box office. And while I've said this before, we're also expanding the types of films we play on IMAX screens. Historically, we never would have played a movie like Beauty and the Beast, given it's not your typical fan title. That's no longer the case, and it's become quite clear that our format can offer a unique experience for a wider variety of programming. This is particularly important, for instance, with Disney live-action films like Jungle Book that we played last year, the upcoming Aladdin and Mulan, because these are films that clearly will have an audience in IMAX. Moreover, we're continuing to analyze our network for receiving opportunities, and we're testing different options with various exhibitor partners. Results from our plush rocker installations have been encouraging, and our exhibitor partners are more keenly focused on retrofitting more of our theatres with these premium type of seats. Currently, exhibitors have reseat, roughly 50 of our IMAX network, and we're working with them to reseat even more. And lastly, we continue to look for alternative and original content to fill gaps in the release schedule. As you know, we will launch the television series Marvel's Inhumans in late summer, a period of the year that has traditionally absent a big Hollywood tent-pole releases. A second trailer recently premiered at Comic-Con and garnered a lot of attention. Remember, the exclusive IMAX theatrical release of the series' first two episodes, not only fills the gap in the film slate, it also provides us with an exciting new revenue stream, as we share in the entire pie, which includes the theatrical revenue, domestic and international licensing and streaming revenue. And on the topic of content, we believe there is an excellent slate ahead for us; and we've already kicked off Q3 on a strong note. In addition to Dunkirk, earlier this month, we played Spider-Man: Homecoming, which opened to a $17 million global weekend, which excluded China. On that topic, and as Rich noted in his remarks, we couldn't be more excited that Dunkirk has been given an official release date in China and will be coming to IMAX screens on September 1. Looking ahead, several titles I'm also very excited about include; Kingsman: The Golden Circle from Fox; Blade Runner 2049, as I mentioned, from Alcon, Warner Brothers, Sony International and directed by Denis Villeneuve; Thor: Ragnarok, which has garnered spectacular online buzz; DC's Justice League, on the heels of Wonder Woman's success; and of course, Star Wars: The Last Jedi, which was partially filmed with IMAX film cameras by Rian Johnson. And given our long-term film deals, we already have a number of key titles locked in for 2018. These films include: Marvel Studios' Black Panther; Ready Player One, directed by Steven Spielberg; Avengers: Infinity War; Han Solo; as well as Jurassic World: Fallen Kingdom, and that's just to name a handful. All-in-all, I think the slate ahead coupled with the key initiatives laid out earlier, should put IMAX in a good spot going forward. And with that said, I will now pass it over to Patrick.
Patrick S. McClymont - IMAX Corp.: Thank you, Greg. As we mentioned, signings and installation activity remained robust through the first half of 2017. We signed agreements for 92 new systems during the second quarter, headlined by our 40-theater hybrid revenue-sharing deal with Omnijoi in April. On the installation front, we installed 33 new theater systems and one upgraded system, compared to our Q2 guidance of 28 new theaters. Please turn to slide 5 of our earnings presentation to see the breakdown of our 33 new installs by theater type. Next, I'd like to review our financial highlights for the quarter, starting with our consolidated results, and then looking at our core and new business results. Please note, our GAAP figures include the $10.3 million restructuring charge from our cost reduction initiative, which I will discuss in greater detail in a moment. During the quarter, we saw a GAAP net loss of $1.7 million, resulting in a GAAP net loss per share of $0.03. On an adjusted basis, which adds back the restructuring charge and stock-based compensation expenses, attributable net income was $9.6 million, resulting in adjusted net earnings of $0.15 per share. Adjusted EBITDA for the quarter came in at $29.3 million. Adjusted EBITDA margin of 31.9% (sic) [37.9%] (20:21) was up 260 basis points above last year. Turning to our core business operating segments, Network Business revenue, which consist of revenue generated from sharing and box office was $47.4 million in the second quarter, and generated margins of 66.3% compared to $48.1 million, and a 68.8% gross margin in the year ago period. Theatre Business revenue, which consist of our system sales and maintenance business was $32.7 million in the quarter and generated a gross margin of 52.7%. This compares to revenue of $38.9 million and a gross margin of 45% in Q2 of 2016. The lower revenue was due to our having six fewer theater installations versus the prior year period. Margins in 2016 reflected an additional laser upgrade last year at lower gross margins. Total Q2 2017 core business gross profit was $50.6 million, resulting in a gross margin of 58.5%, an increase of over 300 basis point versus last year's second quarter. Total core OpEx, which includes R&D and SG&A, excluding stock-based compensation, was down slightly compared to last year. On the R&D front, we saw an increase of about $1 million over last year, which is primarily the result of a ramp-up in the commercial laser project. Now turning to our new initiatives; total operating expenses from new initiatives were $2.5 million in Q2 versus $1.3 million in the prior year period. On a year-over-year basis, new business R&D was driven by the development of our VR camera. Slide 6 will provide a more detailed look at the financials I just highlighted broken down by core and new business. As discussed, we implemented a cost reduction exercise in the second quarter, aimed at reducing redundancies, streamlining our business and driving operating leverage. To give you some additional detail as to how we approach this initiative, we work with business leaders across the organization and conduct a thorough review of our cost structure, procedures and workflow. We focused on the entire cost structure, paying close attention to cost of sales, as well as SG&A. As a result of this exercise, we found several areas across the organization we could streamline. One such component was head count, which have grown significantly during the past several years, given the company's rapid growth. We identified a number of roles, which as a result of the evolution of the organization were either redundant or no longer essential to the business as it operates today. On the new business front, we closed our Shift cycling operation. We also identified miscellaneous costs, such as professional fees and facilities costs associated with satellite offices that we decided were no longer essential. We believe this reorganized cost structure enables us to accomplish three main objectives; one, to further streamline processes to create efficient growth; two, to achieve greater operating leverage and bolster operating cash flow generation; and three, to continue to invest in new business initiatives. In terms of the financial impact and timing of this restructuring, we anticipate this exercise will remove approximately $20 million in annualized cost from the business, which we expect to benefit from in the second half of this year, with a broader benefit heading in 2018 and beyond. Turning to the balance sheet, we ended Q2 with $158 million of cash. As noted in Rich's remarks, we repurchased approximately $46 million of shares during the quarter. We also announced a new $200 million buyback authorization, following completion of our prior buyback program. And we intend to continue using the share buyback program opportunistically, while also continuing to invest capital in growing our network and financing new business ventures. Now, a brief update on our financial outlook for the third quarter and full year 2017. As part of our recently implemented cost reduction program, we recognized a restructuring and impairment charge. The bulk of this charge was reflected in the $10.3 million we recorded on the income statement in the second quarter. We anticipate additional restructuring charges in the range of approximately $4 million to be recognized in the second half of this year, $3 million of which should be expensed in the third quarter and approximately $1 million in the fourth quarter. As a result of the cost reduction efforts, we expect consolidated operating expenses, which include new business to grow at mid-single digits year-over-year, down from the 10% growth, we've previously guided to on the Q4 call. We also expect full year 2017 consolidated stock-based compensation of $23 million, down $3 million from our original guidance of $26 million. Additionally, core business operating expense, originally anticipated to grow at mid-single digits is now expected to grow low-single digits. Moving on to installations. We expect to install 42 new theaters in Q3, of which we anticipate 13 STLs, 23 JVs, and 6 hybrid JVs. We continue to expect 160 new theater installations for the year. We also anticipate our full year investment in new business to be approximately $16 million to $18 million, in line with previous guidance. We anticipate a full year tax rate of approximately 18% compared to our previous guidance of 23% to 24%. The lower tax rate is primarily driven by one-off items related to our restructuring and impairment charge. The remainder of our guidance is consistent with what we provided on our Q4 call in February. We will post a full breakdown of this guidance in our website, broken out by core and new initiatives at the conclusion of this call. I'd also like to mention that we just launched our newly redesigned Investor Relations website on Monday, investors.imax.com, which has some interesting new features and resources, including our updated historical financials, which we intend to publish shortly. We encourage you to check it out and hope you find the new layout more intuitive and user friendly. We'd appreciate your feedback on the new site. Also as a reminder, moving forward, we will now be posting our earnings press releases directly to the IR website for download. In conclusion, strong demand for IMAX systems worldwide continues to provide attractive opportunities to grow our network. We are taking steps to drive revenue productivity in the installed network, and we're implementing actions to optimize our business and streamline costs. We believe the company is better positioned to generate shareholder value as a result of these efforts. With that, I will turn the call over to the operator for Q&A.
Operator: Thank you. And we'll go first to Eric Handler with MKM Partners.
Eric O. Handler - MKM Partners LLC: Yes. Thanks a lot for taking the question. A couple things for you guys. First, now that you have a new marketing person in place, as you get more films having sort of like the IMAX DNA using the IMAX cameras, how do you propose marketing to consumers, so that there is increased awareness that there is something different with the IMAX films? Secondly, for Patrick, I'm just curious. You have now – you continue to invest your capital in the JV theaters. You are on the cusp of rolling out more virtual reality facilities. So I'm curious, how much cash do you want to have on hand, so just as I try to think about how much you might want to do for – use for buybacks and how much you use for investing, how do you sort of think about that?
Richard L. Gelfond - IMAX Corp.: So on the first question. I think JL has been here two weeks. So we're going to give her time to answer that question specifically. But, Eric, in general I think you're going to see much more focus on brand marketing and defining the brand apart from the movies. We'll still do movie marketing, but as a subset of a much more comprehensive branding strategy. In terms of differentiation, obviously you saw in Dunkirk that done the right way, marketed the right way, and word of mouth, et cetera, it's extremely powerful. You saw the weekend results for the week days, the first few days. We continue to index at roughly 25%, roughly a quarter domestically. And I think that's certainly an area we're going to focus on both in marketing and reality going forward.
Patrick S. McClymont - IMAX Corp.: And, Eric, on your second question, when it comes to the capital that we invest in the JVs, a fair a bit of that is in China as you know. And there is some timing issues, but by and large the business provides sufficient cash flow to fund the JVs. As we think about, you mentioned VR facilities, and we are rolling those out. But it's a pilot. And the capital requirements for those are quite modest. And so with our $150 million of cash on hand, we have plenty of cash, we have plenty of capital. And so when it comes to the question of share buybacks, it's really a question of being opportunistic, which you've seen us do over time. We don't feel constrained when it comes to capital.
Eric O. Handler - MKM Partners LLC: Okay, great. And then just as a quick follow up, and Rich, I love your Kathleen Turner impression. But when do you decide go versus no-go for VR?
Richard L. Gelfond - IMAX Corp.: We're rolling out about eight more as you know. The agreements are one-year agreements, the VR agreements. By the way, everyone is laughing at me in the room, just so you're not the only one who is entertained, Eric. So I'd say, around a year from now.
Eric O. Handler - MKM Partners LLC: Great. Thanks.
Operator: And we'll take our next question from Alexia Quadrani with JPMorgan.
Alexia S. Quadrani - JPMorgan Securities LLC: Thank you very much. Just a question really on China Obviously the Dunkirk news is a positive development, but just if you could maybe give us a bit more color on what your outlook is for that region for the rest of year and going into 2018? Do you think there'll still be sort of healthy industry screen growth? And I guess any commentary about what you are expecting on the local language content front would be helpful?
Richard L. Gelfond - IMAX Corp.: So, Alexia, I was there about three weeks ago, and I met with all of the studio heads that are relevant to us. And I'd say the content – the context was upbeat (32:09) in line with kind of the year-over-year development. So I don't think people think it's going to go back to 30% year-over-year growth. But I think people are confident it will be growing. And I think we have a fairly robust film slate coming out for the remainder of the year, which I'm going to ask, Greg, to talk a little bit about. But I think we feel pretty good about it.
Greg Foster - IMAX Corp.: So, besides the Hollywood titles, which all of you know, there is also the blackout period unofficially that started after Despicable Me 3, and will continue on until towards the end of August. And for that schedule, we've got five movies. We haven't announced all of them yet because we're waiting for sequentially to do so. But I think, many of you know that we played Wu Kong, which we did nicely with. There is a new movie opening up this weekend. There is a movie August 4 called Once Upon a Time. There are a couple of movies that are coming out on August 11, one called The Adventurers, and one called Legend of the Naga Pearls. So there is a lot of local language films. Local language films are very important to us, they're not only important to us in China, they're important to us in other markets that have the network size to be able to justify them from a financial point of view. But local language in China, you can continue to see IMAX participate in a significant way going forward.
Alexia S. Quadrani - JPMorgan Securities LLC: And then just a quick follow-up if I may, and the answer may be it's too early to tell, but I know it's been a couple of months now since the VR facility was opened in New York, and just sort of following up on previous question. Is this sort of going as planned or as you hoped, or do you really have to have it like you said for a kind of a full year before you make a decision if you're going to go forward or not?
Richard L. Gelfond - IMAX Corp.: I think we need more time to make a decision. As you know, the one in LA has opened up very strong and is an extremely positive indicator; in New York, it's our first one in a multiplex. We're going to test others in a multiplex, other standalones, other entertainment centers. And I think that New York one, certainly is on a pace where it could succeed, but I think we need to see more data.
Alexia S. Quadrani - JPMorgan Securities LLC: Okay. Thank you very much, it feels better.
Richard L. Gelfond - IMAX Corp.: Thanks.
Operator: And we will go next to Michael Ng with Goldman Sachs.
Michael Ng - Goldman Sachs & Co.: Thanks for the question. First, I was wondering if you could elaborate a little bit on some of the changes you're making in the revenue strategy, particularly in reseating and the plush seats. I appreciate that it's early days, but what have you learned from the 50 IMAX screens that have been reseated so far? And is there anything in terms of metrics that you can share with us in terms of existing capacity utilization for non-reseated screens, and perhaps what you think the attendance uplift might be? And I have a follow-up.
Patrick S. McClymont - IMAX Corp.: Sure, I'll take this one Michael. It's Patrick. Thanks for the question. We're in the exploratory phase. It's still relatively early days, and we're pursuing reseating with multiple different partners, which is great. It gives us an opportunity to see different types of seats, and so you've heard us talk about the plush rockers, the theaters are installing recliners, we've got at least one test case for a full recliner, we've got test cases for an in between strategy, a partial recliner. And the early returns are positive, in particular, with the plush rockers, where we've got less seat loss when we install those with our partners, it does appear to be a product that the clients like, and we're starting to see some good results from those. And so we're going to continue to push this along with our exhibitor partners. Maybe there's different solutions in different markets, but what we are committed to do is, is pending time with our exhibitors, helping them prioritize our theaters, and making sure that we're delivering the product that clients are interested in.
Michael Ng - Goldman Sachs & Co.: Okay.
Patrick S. McClymont - IMAX Corp.: We're not at a position now where – share any data, it's just too early in the process.
Michael Ng - Goldman Sachs & Co.: Okay. Fair. And my second question is on China. I'm just trying to better understand some of the challenges that may have contributed to the slowdown in the Chinese box office, specifically, I think there has been a fairly rapid growth in streaming subscribers. And I was wondering if you could maybe just comment on that. And also, could you tell us, are there any differences in the theatrical to home video window in China versus the North American market? Thank you very much.
Richard L. Gelfond - IMAX Corp.: Michael, as I said, I was just over there, and streaming is gaining momentum there. But I don't think that has much to do with theatrical. There hasn't been any change in windows there as a result of streaming. Streaming is mostly different product, television shows, lower cost things, it's a lower cost alternative, and it's popular. But I actually met with streaming executives, as well as some movie studio executives, and I don't think that's playing, that's playing into the factors over there.
Michael Ng - Goldman Sachs & Co.: Okay.
Richard L. Gelfond - IMAX Corp.: (37:34) their current window structure, their current window I think is similar to here, and there really isn't a move to change those windows at present.
Michael Ng - Goldman Sachs & Co.: Great. Thank you very much.
Patrick S. McClymont - IMAX Corp.: Thanks, Michael. Before we go to the next question, before you get too far, we just noticed that I actually had a typo in my script. And you'll see in the press release that adjusted EBITDA margin was 37.9%, and in the script I said 31.9%, but that was just a mistake in the script. So, 37.9% is the number you'll see in the press release.
Michael Ng - Goldman Sachs & Co.: Thank you.
Operator: And we'll go next to Stan Meyers with Piper Jaffray.
Stan X. Meyers - Piper Jaffray & Co.: Thank you for taking my questions. So, Rich and Greg, I guess first I wanted to spend a little more time on China and those new builds you guys discussed earlier in the call. Maybe you can comment on where those are, whether or not those are full JVs or hybrids that's playing in? And then I have a follow-up.
Richard L. Gelfond - IMAX Corp.: Yeah. It's a mix, two-thirds JV, one-third sales type leases generally.
Stan X. Meyers - Piper Jaffray & Co.: Yeah. I guess. And then on – I think Dolby on their call, they talked about having commitment for 325 screens around the globe, and they're sort of growing their platform. Are you seeing them competing with some of your business, or there is still, not really impacting, if you can update us on what you're seeing with Dolby?
Richard L. Gelfond - IMAX Corp.: I'd say we don't see them as a factor in our global competition in China, which you just asked about. They have 16 rolled out compared to our 400. And their PSAs in China are roughly half of ours. And many times, we're in the same locations in the U.S. I think they have around 60 rolled out all AMC. And frankly, the places where they've been most successful or where we have zones we can't go into or with one at AMC, which are using a better/best strategy, with us as the best.
Stan X. Meyers - Piper Jaffray & Co.: Right. Thank you, guys.
Operator: And we'll go next to Steven Frankel with Dougherty & Company.
Steven Frankel - Dougherty & Co. LLC: Good afternoon and thank you. Greg, you talked about some changes in strategy, screen sharing, shorter windows, kind of what should we think of as the new normal in indexing domestically?
Greg Foster - IMAX Corp.: I wouldn't focus necessarily on a norm because the titles and the strength of the slate at different times of the year is contingent on each individual title. So, I don't think you can compare, for instance, Dunkirk to an animation title, it's apples and oranges. What you can assume, is that, we're going to have a lot more one week titles, and you can also assume that the pillar titles would use our technology and have an important filmmaker behind them, obviously, none more important than, for instance, Chris Nolan, who have a longer period of play. So, screen sharing also makes it more difficult to have a norm because you could have an animated title playing for three shows and you could have a live action title playing for two shows, and it has an impact obviously on the indexing. So, I think indexing is, obviously we're going to talk about it when it's 23%, but in certain cases, we're not going to talk about it because it's not really applicable. I also think it's important to talk about something like Beauty and the Beast, which is a movie that is not your traditional IMAX film, but yet thankfully we played it, and two years ago, we wouldn't have played it, and I don't have in front of me what the number is that we did, but it was a very significant number and here it is, I'm going to list it, $42.8 million, that's a movie we never would have played two years ago. So, while that's $42.8 million and it's $1 billion global title, it nevertheless for what it means for us, and particularly at that time of the year, it's incredibly important. So we have to be flexible, we have to adjust our strategy based on the marketplace. The marketplace is also, particularly in China as we've talked about, having movies that come out and on the opening weekend 90% of the box office is one movie and it's offered on 25,000 or 30,000 screens. We have to be very opportunistic about how we schedule and it's going to make things a lot more fluid, but that's just how the system works right now and that's how we're going to participate.
Steven Frankel - Dougherty & Co. LLC: Okay. And then either for you or Rich, any update on Wanda given all the things that have been in the press, might that slowdown the install pace there?
Richard L. Gelfond - IMAX Corp.: When you say there, you mean in China?
Steven Frankel - Dougherty & Co. LLC: In China with Wanda, specifically, given that Max Nations (43:02) with the government and the parent corp.
Richard L. Gelfond - IMAX Corp.: I don't think so. When Patrick sort of confirmed our guidance for 160 this year, that included many more Wandas that were acquired under the agreement, they're significantly ahead of their rollout. And what was announced with Wanda, which was potential restrictions on capital for overseas acquisitions had nothing to do with China. And I've had on my recent trip, I met with the CEO of the Cinema Line Company, and there was no discussion of slowing down the rollout.
Steven Frankel - Dougherty & Co. LLC: Okay. And, one last one for Patrick. How should we think about the impact of the 70-millimeter prints of Dunkirk on DMR COGS for Q3?
Patrick S. McClymont - IMAX Corp.: So, those prints are doing remarkably good business. We have a partnership with Warner Brothers on it, it's not material enough to certainly talk about the economics of it. But if anyone wants to go try and see the movie at a 70-millimeter location this weekend and goes online, you'll know what I'm talking about, it's hard to get a seat. That doesn't happen all that often when we do, the 70-millimeter runs these days on titles like Star Wars, titles et cetera, it really helps, obviously, Dunkirk is one of those titles. I also think, as we go into future programming on how we handle movies, you'll see with IMAX DNA, the prologue that Chris Nolan always attaches to one of his movies has a huge halo effect on that release in the future, six months later. So, the 70-millimeter runs have an extra cost that go with them, but they more than make up for it in the incremental box office and the branding effect that it has.
Steven Frankel - Dougherty & Co. LLC: Great. Thank you.
Richard L. Gelfond - IMAX Corp.: To be specific, from a P&L point of view, it'll be profitable for us.
Greg Foster - IMAX Corp.: This one is a positive for sure.
Patrick S. McClymont - IMAX Corp.: Quite profitable.
Greg Foster - IMAX Corp.: Because it's doing so well on IMAX film. So this...
Steven Frankel - Dougherty & Co. LLC: And again, just to confirm, it was included in the guidance for the full year around DMR COGS that you gave, that was fully baked in there?
Richard L. Gelfond - IMAX Corp.: Yes. Yes.
Patrick S. McClymont - IMAX Corp.: Correct.
Steven Frankel - Dougherty & Co. LLC: Okay. Great. Thanks.
Operator: And we'll go next to Jim Goss with Barrington Research.
James Charles Goss - Barrington Research Associates, Inc.: Thanks. One more thing on Dunkirk. As well as it's doing, four weeks to six weeks is a lot to ask for any film. And I'm wondering if you have any contingency plans? Or do you not think it's going to be really necessary because you think it'll have legs of that nature?
Greg Foster - IMAX Corp.: Well, it's a good question. I think if you were talking about something in the spring, it would be – we'd have to be more open-minded to it. We're always open-minded to it. But if you can find a big huge title in August, you're going to have a lot of exhibitors being really, really happy. August is not the month in the year, particularly as you get towards the second half of it, that big tent-pole blockbuster movies are released. That's part of the reason why we have Inhumans coming out on September 1. This is a thing that happens eight weeks, 10 weeks, 12 weeks a year, where the studios just simply aren't in the habit of releasing big tent-pole blockbuster movies. So the release date of Dunkirk is a really, really good release date for us, given the fact that it obviously is going to have legs, as we're seeing. And there's always options and opportunities and bring backs and even some new films. But right now, we're just going to enjoy the success of how we're performing with the movie and how the movie is doing all together. And we can always adjust if we need to. But at this point, it doesn't appear like that's in the foreseeable future or in the short-term future at least.
James Charles Goss - Barrington Research Associates, Inc.: All right. Great. And just a couple of small things. On the plush recliner, rockers or whatever type of reseating you do, what sort of cost sharing relationship do you have with your exhibitor partners?
Patrick S. McClymont - IMAX Corp.: Our exhibitor partners pay for the reseating.
James Charles Goss - Barrington Research Associates, Inc.: They'll do that, okay. And then is VR the only ongoing diversification at this stage?
Richard L. Gelfond - IMAX Corp.: No. We're releasing Inhumans on September 1, which is our new content diversification. There are some lesser – less costly things still floating around like IMAX home theater, but they are fairly scaled down at this point.
James Charles Goss - Barrington Research Associates, Inc.: All right. Thanks very much and get better, Rich.
Richard L. Gelfond - IMAX Corp.: Thank you, Jim. Thank you.
Operator: And we'll go next to Aravinda Galappatthige with Canaccord Genuity.
Aravinda Galappatthige - Canaccord Genuity Corp.: Hi. Thanks for taking my question. Just a couple for me actually. And number one, with respect to the China PSAs, I mean we've been seeing sort of declines for a few quarters now. I was wondering if you can kind of help us isolate the seasoning factor? I mean I think in the prepared statements, you indicated that about 28% of the screens are one year or younger than that. If you kind of remove that – if you think of the more aged screens, are you seeing more parity on the PSAs there? Just to kind of help us quantify the impact of that on China PSAs? And secondly, I guess for Patrick, with respect to the investment in TV and film, that line item obviously kind of ballooned in Q2 to about $16 million, well ahead of what the normal run rate is. I suspect it had to do with the initial payments for the original content. I was wondering if you can kind of confirm that and maybe talk about whether there is any additional payments coming in Q3 and Q4.
Richard L. Gelfond - IMAX Corp.: So, Aravinda, I don't have the statistic in front of me, but it's material. That it's usually roughly two years in that the theatre performs at seasoning level. I think it's something like it opens at about 60% of the number to where it gets to over that period of time. I haven't done the math overall, but it's quite material.
Patrick S. McClymont - IMAX Corp.: Sure. Could you repeat the second question? I want to make sure I followed it.
Aravinda Galappatthige - Canaccord Genuity Corp.: Yeah. So it's in the investment in TV and film. So for the six months, I think it's about $19 million – $19.6 million investment in film assets this is.
Patrick S. McClymont - IMAX Corp.: Sure
Aravinda Galappatthige - Canaccord Genuity Corp.: And – yeah. So I mean it looks like there is a big $16 million lump sum in there. I was wondering if there was a payment to ABC from you guys and that caused that line item to increase.
Patrick S. McClymont - IMAX Corp.: Yes. So we've been funding our co-funding agreement, we've been funding our share of it. That commenced in the second quarter. We've got a bit more to go in the third quarter. And obviously, we launch during the third quarter. So you'll see it all in our financial statements next time around.
Aravinda Galappatthige - Canaccord Genuity Corp.: Okay. So Q2 would be a peak or would Q3 be a little bit higher as well?
Patrick S. McClymont - IMAX Corp.: No, we've still got – what showed up in Q2 is sort of halfway there. And we've talked about this being in the aggregate sort of the mid-$30s million type investment. And so some of that's marketing obviously, so that will flow through the P&L. A little bit of that P&L impact started in Q2, almost – the vast majority of it will be in Q3 as you would expect. So we've still got a ways to go.
Aravinda Galappatthige - Canaccord Genuity Corp.: Great. Thank you for taking the questions.
Operator: And we'll go next to Mike Hickey with Benchmark.
Mike Hickey - The Benchmark Co. LLC: Hey, guys. Thanks for taking my questions. Two from me. Greg, I was just hoping you could I guess update us on your expectations for Inhumans. It looks like that the buzz is maybe a little bit light here. Curious, if you've sort of had any change in what you're expecting from that film's release? And secondly, China thinking about the blackout period this year. If you can remind us, how that compares to prior year, and if you think that – that negative for Q3 performance? Thanks, guys.
Greg Foster - IMAX Corp.: So, first of all on Inhumans, it's – I'm not going to give a prediction, but it's – you said it's a movie, it's not a movie, it's a television program that we've made to a theatrical IMAX release, it's shot with our cameras, and obviously is bigger than most things that you see on television. We're excited about it. Comic-Con, we had the release of a new trailer that seem to go over very well, got a tremendous amount of attention. And where – it's – I think it's a mistake to make a prediction, it's not something that I do on movies, and it's also not something that I'm going to do in this case, but it's certainly garnering a lot of attention, and people know about it. And I think there is a lot of very exciting things about it. And we'll find about in about six weeks. So, that's on Inhumans. As it relates to China, the blackout period, which is technically not a blackout period, it's probably a week longer this time than usual, maybe even 10 days longer. It's – again (52:48) started right after Despicable Me 3, which was the last Hollywood movie to be released, and the next Hollywood movie is not until August 25. So, it's a good six-week, seven-week period, so it's a long period of time. We have more movies this year than we had last year. And the key is, do one of those movies pop, and you just never know, no one would have predicted some of the movies that popped in 2015. And we're just – again, you never know in that market, we're just going to have to see. But we have lots of variety, different sorts of films, and they all start – they started with Wu Kong last week, and they will continue this coming week with a new one, and as I mentioned, two on the 4th, two on the 11th, and probably one on the 18th and the 25th.
Operator: And we'll go next to Eric Wold with B. Riley.
Eric Wold - B. Riley & Co. LLC: Thank you, good afternoon. I've just got one question, but it's got four parts to it. But all on the same things, so kind of, wanted to dive in a little bit on your plans for the retrofit theaters in China? What is the earliest we could see these potentially open, would you allow any of your partners with theaters currently in backlog. Do you shift those commitments from a new build to a retrofit would be – as a thought been that these might have been some locations that were maybe passed up originally by your general partners as maybe not optimal that have actually performed better than expected? And then lastly, what your maybe preliminary thoughts on how Chinese consumers may react given that there is a little bit of a backlash with kind of IMAX lite as it was deemed years ago here in the U.S.? Thanks.
Richard L. Gelfond - IMAX Corp.: So, Eric. To the extent I want to save my voice, so I'll make the answers relatively short. I think, yes, it will happen soon. Two, yes, I think we could shift from existing backlog in new builds to retrofits. Three, I think they can perform well, and I'm not that – and I think one reason for doing it is because it's predictable rather than greenfield. And four, I think they'll react well because the brand is very positive, and even when we say retrofits, they tend to be fairly large screens because they were recently built, they're not like the smaller screens in some North American cities.
Eric Wold - B. Riley & Co. LLC: Perfect. Thanks, Rich.
Patrick S. McClymont - IMAX Corp.: Thanks, Eric.
Richard L. Gelfond - IMAX Corp.: Just to conclude, I want to just go back to the beginning theme, which Rob read for me, which is that I've now been at IMAX 23 years, and we've had lots of periods of time where things haven't performed up to expectations, films, and we've had lots of tremendous successes including Interstellar, Avatar, Gravity, et cetera, and it's no easier to be CEO than it is to be an investor. But having done it, I've seen the ups and downs over a long period of time, and I don't think there is anything fundamentally different this time. As Greg said, there are small things we could do to make the proposition better. We've brought in a new CMO, now market it better, but we remain extremely positive about where IMAX is going, especially in light of the network growth. Thank you.
Operator: Thank you everyone. That does conclude today's conference. We thank you for your participation.